Operator: Good day, ladies and gentlemen. And welcome to the Fourth Quarter and 2011 Year End Financial Results Conference Call. My name is Fab, and I’ll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) I would now like to turn the conference over to Mélanie Hennessey, Vice President of Investor Relations.
Mélanie Hennessey: Thank you, Fab. Hello, everyone. And thank you for joining us for Hecla’s fourth quarter and year end 2011 financial and operations results. Our news release, which was issued this morning before market opened and today’s presentation are available on our website. In addition, Hecla issued a release last Thursday announcing the latest reserves and resources, and provided an update on our predevelopment and exploration initiative. On today’s call, we have Phil Baker, Hecla’s President and CEO; Jim Sabala, Senior Vice President and CFO; Larry Radford, Vice President, Operations; and Dean McDonald, Vice President, Exploration. Before we get started, I need to remind you that any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act. Such statements include projections and goals, which are likely to involve risks detailed in our various SEC filings, and in the forward-looking disclaimer, included in the earnings release and at the beginning of the presentation. These risks could cause results to differ from projections. In addition, in our filings with the SEC, we are only allowed to disclose mineral deposits that we can economically and legally extract or produce. Investors are cautioned about our use of such terms as measured indicated and inferred resources, and we urge you to consider the disclosures that we make in our SEC filings. With that, I will pass the line over to Phil Baker, Hecla’s President and CEO. Phil?
Phil Baker: Thanks, Mélanie. Hello, everyone. I’m glad you could all join us today. Jim and Larry, and I are here at the Zinc Conference, and so we’re speaking from a conference room, and there is a little bit of an echo and we apologize for that. I’m going to provide a brief overview and then Larry will provide additional details on the work plan at Lucky Friday, and also will talk about Greens Creek’s capital program. Jim’s going to then speak about the financial results and Dean will provide an update on reserves, resources, exploration in the predevelopment initiative. I’m going to close out the call with our 2012 guidance and then we’ll take questions. Now for the year end fourth quarter results please see slide four. First financially, it was an excellent year and the fourth quarter had very solid financial results. We had record 2011 sales and gross profits with $478 million and $265 million, respectively. While silver production was less than 2010, the 9.5 million ounces was in line with guidance, despite the challenges faced at the Lucky Friday mine over the last year. Costs were $1.15 per ounce which remains among the lowest in the world and realized silver prices average $35 per ounce almost all of the margin. Cash from operating activities were $70 million or $238 million on a pro forma basis prior to paying the $168 million for the Basin environmental settlement. Our cash position at the end of the year was $266 million. Now moving to slide five, we provide some additional 2011 highlights. Hecla had significant challenges but despite this, we have not only achieved excellent financial results but have number of other accomplishments. Noteworthy, are the silver reserves and resources have increased for the six year in a row by 4% and 13% respectively to 148 million and 281 million ounces, also the largest in Hecla’s history. We executed a $102 million capital expenditure program at our operations in 2011 and significantly advanced our predevelopment initiatives far more than what we had anticipated at the beginning of the year. We finalized and settled the long standing Coeur d’Alene Basin litigation. We acquired the minority interest in the San Juan Silver property which is now a 100% own for the Amethyst, Equity and Bulldog veins, and we introduced a new common stock dividend returning capital to shareholders. And then of course, subsequent to the at the end of the year we had this the incident with the Lucky Friday where we had the shaft shutdown for this clean down, but we have now received approval from MSHA to remove the loose material from the shaft which brings me to slide six. And I wanted to have us cover upfront the Lucky Friday given the all of the announcements that we had on that over the course for the last month. MSHA, you’ll recall, began a special impact inspection back in December and an order was issued to remove the loose material from the silver shaft and we are working with MSHA in order to progress as safely and quickly as possible to bring the Lucky Friday mine back into production. This period of clean down of the shaft is standby period also gives us an opportunity to upgrade the shaft and mine, and improve its overall efficiency, something we would not have been able to do during normal operation and so that’s something that we are really focused on during the course of this year. And with that, I’m going to hand things over to Larry, who will provide greater detail on this work plan and then the capital projects at Greens Creek, so Larry.
Larry Radford: Thank you, Phil. Good morning. Phil mentioned the special impact inspection took place back in December. As a result, MSHA issued the order to close the Silver Shaft and remove any loose material in the one-mile deep shaft. Slide six provides an update on the work that has planned for 2012. When we receive the order one of our critical concerns was the ability to access and maintain the pumps at the 5300 level to keep the mine from flooding during the standby period. The pumps were only accessible via the Silver Shaft, shortly after receiving the order and agreement was reached between Hecla and MSHA with an alternative plan to reach the pumps. Resolution was the construction of a new drift which would be accessible via the #2 Shaft and allowing us to maintain the pumps. Development of the new drift commenced in mid-January and is expected to be completed this week. In addition to the work on the drift our other activities which have been taking place since early January include work on the headframe and termination of MSHA citations. Silver Shaft cleanup is estimated to take the balance of 2012 to complete. One of the first half after completion of the drift to access the pumps will be at a completed detailed inspection of the Silver Shaft to confirm the scope of work. With the inspection we expect that we may have an opportunity to schedule some activities concurrently that are currently schedule sequentially. This might provide an opportunity to improve on the schedule. Nonetheless, the risk is existed additional recur items will be encountered further extending next schedule. I will come back to the other points listed on the slide, but first I want to show a few slides which better illustrate the work ahead. In addition to the Silver Shaft cleanup the plan includes removal of any unused utility in the shaft, various repairs of any damage structural elements, repair of existing shaft structures as needed, installation of watering in the upper part of the shaft to control water entry into the shaft in winter, installation of a new power cable and the installation of a metal brattice between the east and west half of the shaft, which will provide a physical barrier between the two halves. The diagram to the right on slide seven shows the existing conveyance in the lighter lines to the east and the new work deck in darker colored lines to the west. The new work deck is expected to enable access to the west side of the shaft. Diagram on the right also shows the vent line and unused utility being placed into the existing conveyance. Diagram on the left provides another view of the work deck in more detail which shows three platforms that pulled out to the north and from which we can access any part of the shaft. These additions should ultimately allow Hecla to install an additional hoist in the west side of the shaft capable of hoisting man and materials. This addition would allow the two existing conveyances to be dedicated solely to hoisting rock. Work on the shaft planning is expected to commence in the next few works. Once the shaft cleanup has been completed down to the 4900 level work on the 5900 haulage way bypass is expected to commence. In addition to work on the Silver Shaft, other significant surface and underground capital programs are in various stages of planning and execution. Additional projects include tailing, tailings dam construction and upgraded reagent addition system and replacement of the administration building. In addition to the investment of the Lucky Friday mine, Hecla is making a significant investment at the Greens Creek mine. Moving to slide eight we have listed a number of key capital projects planned for 2012. About 70% of the projects are targeted at increasing production and reducing risk. About 30% of the capital is targeted at increasing mine lines. The largest project targeted is the development of the southern extension of the 200 South budgeted at $180 million. The southern extension of the 200 South was discovered in 2010, exploration and development planning was completed in 2011, and development work began in 2012. This project has the potential to add mine life to the current Greens Creek estimated life of 10 years potentially up to 30% more life. As the orebody is deep, the orebody will be more sufficiently mined if mining is concurrent with other orebody. As such, this project was started in 2012 to allow sufficient time for exploration, complete definition and development of the orebody and concurrent mining. Second largest project is the replacement and addition of the mobile equipment at $14 million. This equipment is budgeted to replace machines at the end of their useful life and had more machines needed to potentially bring the mine to a higher production level. A few additional and larger projects at Greens Creek are expected to include the tailings dam expansion at $10, the rehabilitation of the East Ore access and ventilation upgrade at $6 million, which should provide access to the East orebody and the Hawk Inlet camp expansion at $5 million, which is expected to create space needed to facilitate exploration, development projects and additional production. Jim will now continue with the review of our financial performance.
Jim Sabala: Thank you, Larry. Metals prices increased across all four metals that we produced in 2011 compared to 2010 resulting an excellent financial performance. On slide nine we present realized metal prices for the year and you can see a significant increase in our realized silver price which is up by 56% and realized gold price which is up by 25% over 2010. In addition, zinc and lead prices were also up by 4% and 7% respectively over full year 2010. Consequently on slide 10, you can see that we continue to experience among the lowest cash cost per ounce in the industry achieving excellent margins. Our per ounce cash costs were $1.50, excuse me, a $1.15 for the year -- that’s $1.15 and $2.28 for the quarter. Cash costs were up marginally compared to the same period last year due to higher production costs, higher profit sharing at the Lucky Friday and treatment and freight costs at both operations. The higher profit sharing and treatment costs are due to higher metals prices, however, the benefits of higher metals prices far outstripped the costs associated there with and our margin of $34.15 per ounce of silver produced up from $24.16 per ounce in 2010. Moving to slide 11, net income applicable to common shareholders more than tripled to $151.2 million for the full year 2011, compared to $49 million for 2010. Net income in 2011 was $0.54 per common basic share, compared to $0.14 in 2010. Earnings after adjustments applicable to common shareholders were $131 million or $0.47 per basic share for the full year 2011. The key adjusted items include a $38 million gain on our long-term base metal hedging program, $5 million of environmental accruals and $2.6 million on provisional price losses net of short-term hedges less the $10 million income tax effect of these adjustments. On slide 12, you will see that Hecla reported cash provided by operating activities of $69.9 million in 2011, that’s even after paying $168 million for the Coeur d’Alene Basin settlement early in the fourth quarter. Without this payment, cash provided by operations would have been $238 million, a 20% increase over 2010’s levels. We finished the year as noted on slide 13 with $266 million of cash and no significant debt. To put 2011 into perspective, Hecla was able to fund the largest capital program in the company’s history, Noonday historic 20-year environment settlement and still finished the year with cash and treasury of $266 million. The company has no significant debt outstanding and $100 million available from its undrawn line of credit giving us total liquidity of $366 million. Therefore, we expect that it will be sufficient to continue the capital projects, predevelopment initiatives and exploration activities that we have planned for 2012. More importantly, investments we are making in our operating lines, the advancement of predevelopment and exploration programs, and the settlement of the legacy liability put Hecla in the strongest position it has ever been. On slide 14 we note our strong -- as a result of our strong financial position our Board of Directors approved a new minimum annual dividend on our common stock of $0.01 per share annually, which when declared will be paid quarterly and as in addition to the silver price-linked dividend. As a result, the Board has declared a quarterly common stock dividend of $0.0125 per share of common stock for the fourth quarter which is based on a quarter-penny minimum dividend payment and the $0.01 silver price-linked dividend on an average realized silver price of $31.61 per ounce in the fourth pursuant to Hecla’s silver price-linked dividend policy. With that, I now like to turn the call over to Dean. Dean?
Dean McDonald: Thank you, Jim. During 2011 $27 million was spent on Hecla’s four district size land positions, including $7.9 million in the fourth quarter. This work resulted in the expansion of our reserves and resources as shown in slide 15, and advanced a number of key exploration and predevelopment projects. In 2011, Hecla was able to replace production and increase silver reserves to 148 million ounces. However, the most positive news is the 13% increase in resources to 281 million silver ounces. Both resources increased by 32% to over 597,000 ounces and lead and zinc resources increased 21% and 26%, respectively. This is the sixth straight year that reserves and resources have been increased at Hecla and is the largest reserve and resource in our history. Drilling of the Noonday vein which is part of this Star Mine Complex and located 2 miles Northwest of the Lucky Friday mine has significantly expanded the resource east into a more silver rich area as shown in the longitudinal on slide 16, where the controllers represent NSR value by vein thickness. With further exploration there is an opportunity to expand the resource to east and at depth. The central portion of the resource is drilled and detailed, and convert to a reserve once an economic study is completed. Drilling and remodeling of parts of the Star Mine Complex has defined resources and new exploration targets above and below the current underground water level. The preliminary economic assessment of the Star Upper Country is expected to be completed at the end of the first quarter. At the San Juan Silver property in Creede, Colorado figure shown in slide 17 provide a 3D view of the Equity underground infrastructure and the location of the recent and proposed drilling of Equity zinc. Initial drilling of the Equity vein from underground shown in the left diagram on slide 17 has defined high grade gold/silver-bearing veins and breccias. A detail list of these intersections is provided in the exploration press release issued last Thursday. The proposed 2012 underground drill program on the Equity vein is shown in the right figure on slide 17. Also shown in the figure are significant deep intersections from recent surface drilling, including a 0.3 ounces per ton gold and 31 ounce per ton silver of 2.5 feet and 0.02 ounces per ton gold and 13 ounces per ton silver over 7 feet. These intersections are located 1200 feet down deep along the Equity structure from the recent high-grade underground intersections. It is early in the program but the Equity vein may represent a mineralized structure with more than 1400 feet of vertical continuity and a considerable strike length. Slide 18 is a series of longitudinal views of the Andrea Vein that shows controllers reflecting the gold equivalent grades by horizontal width. You see the evolution of the Andrea Vein since it was a small near surface resource in 2010. Exploration resumed late in 2010 when a high-grade extension of the vein was discovered to the Southeast. Exploration and infield drilling in the last quarter have defined two distinct high-grade zones along the 1.7 kilometer straight length of the vein that has been incorporated into the year end resource. Drilling will continue in an attempt to expand or identify new high-grade zones along the mineralized vein that is opened a long strike. Further metrological studies could improve recoveries and enhance the known resource. Metrological test work, geological studies and preliminary mineability design are in progress on the Andrea Vein. Due to the close proximity of the Hugh Zone to the newly defined resource on the Andrea mining options of the Hugh Zone are being refined and should form the basis for scoping study expected to be completed in the third quarter. The 2012 exploration program on slide 19 is expected to focus on all of our district size properties. But in particular on the 200 South, 5250 South and Gallagher zones at Greens Creek, further expansion of the Star Mine Complex resource in particular the Noonday, Moffitt and North Star Veins, defining the mineralization on the Equity and Amethyst Veins at the San Juan Silver property and expanding resources in the Andrea and Antonella Vein area at San Sebastian. And with that, I’ll pass you back to Phil for further remarks.
Phil Baker: Thanks, Dean. Finally on slide 20, this shows our guidance with silver production of approximately 7 million ounces. Cash cost guidance is expected to be between a $1 and $2 per ounce at current metal prices. We expect our largest capital investment yet in our operations with approximately $140 million for the year along with exploration of about $28 million in predevelopment at approximately $11 million. We believe this is time to make this level of expenditures. By making it now we extend the mine lives, we reduce the risk of operations or we improve the mines returns. And with our strong balance sheet and at these prices sufficient cash flow to fund our capital requirements, exploration, predevelopment, dividends, G&A and other expenses, we have the flexibility to take these projects forward and at lower prices we can certainly use some of our cash or line of credit, or we could reduce the level of spending if needed. Our bottom line is this. Despite the challenges at the Lucky Friday we are not standing still, we believe our investment in the mines will make them better. We believe our predevelopment will result in new operations and we believe our exploration will result in new discoveries. All of these will add long-term value. With that, operator, I’d like to open the line for questions.
Operator: (Operator Instructions) And your first question will come from line of John Bridges of J.P. Morgan.
John Bridges: Good morning, Phil, everybody.
Phil Baker: Hi, John.
John Bridges: And just wondered you’ve got costs from Greens Creek could about 2 bucks, which is a bit higher than we are looking for. What’s driving that? Is that conservative expectation for base metals or something else?
Phil Baker: Look we have our cost would be between $1 and $2 per ounce for Greens Creek. Certainly, we like everyone else have seen increases in underlying costs as, there has been and there is pressure on personal, pressure on materials, the cost of material. So we are not immune from that. We certainly think there is an element of conservatism but not -- certainly not much. We’ll do what we can to beat those numbers. I’ll let Larry add anything he might have to that.
Larry Radford: I don’t really anything to add there.
Phil Baker: Jim, go ahead.
Jim Sabala: Yeah. One thing I’d add John is, you kind of get into the rule of small numbers there. Our byproduct credits are very good about paying for our silver production at Greens Creek. And when we talk about an increase of a $1, really that’s only $7 million on a property that including treatment has a gross spend of about 300 million, so bottom line is continues to be a very efficient operation. We will have some inflation next year as Phil indicated during, due to labor and consumables and we’ll have a few more people onsite because of the work that we are doing there. But, overall, it’s the same general profile going forward.
John Bridges: Okay. Where lead and zinc prices are built into that forecast?
Phil Baker: All right. Basically where we are now sort of $0.90.
John Bridges: Okay. And then, one for Dean, that’s a very pretty red patch on Noonday. But it looks as its all of one drill hole, is that right?
Dean McDonald: No. Actually, John, there is probably six or seven holes in that area now and really what we’re seeing is just the evolution in the vein going from more zinc rich to lead and silver. But there is -- the basis for that higher controller is about five or six drill holes now.
John Bridges: Are they all in the center of that thing or are they spread around?
Dean McDonald: They are spread around.
Phil Baker: But, Dean, those are drilled on what centers?
Dean McDonald: In that part of resource it’s about between 80 and 100 foot intervals.
John Bridges: Okay. That’s nice. We feel a bit more comfortable. And then just finally, the -- your contractual relationships with respect to the concentrate and other issues at Lucky Friday, has that been accepted by the counterparties as force majeure or is there anything out there that could develop?
Phil Baker: Yeah. I think everything is in good shape with the smelters that are taking the Lucky Friday material. Jim, anything to add?
Jim Sabala: No. One, we send them a notice straightaway and we acknowledge that they thoroughly understood. Our material at Lucky Friday goes to tech and they are good miner, so they understand these things.
John Bridges: Okay. Okay. That’s good. Okay. Well done guys. Congratulation.
Phil Baker: Thanks John.
Operator: Your next question will come from the line of John Tumazos with Very Independent Research.
John Tumazos: Congratulations on good progress.
Phil Baker: Thanks John.
John Tumazos: With a little of current against shift but you’re doing great. I have questions on four of the slides and first on slide number seven, which is the engineering diagram. I might have been a little slow when you explained it. Could you walk through that again?
Phil Baker: Okay. Well, I’ll let Larry to do that, but just to set the stage the two diagrams you see are actually of basically the same thing. On the left, that diagram is of the Galloway that has the three work decks. The diagram on the right has that same Galloway on the left side of that diagram. And then on the right side of that diagram is the existing conveyance that we have that we have been that we use to operate the Silver Shaft, so with that Larry.
Larry Radford: Great. The right hand diagram really is the one that gives you the best feel for what’s going to be in the shaft as we’re cleaning the shaft down. On the right side in the lighter -- with the lighter lines, you can see the existing conveyance, on top is the skip and then on the bottom is the cage -- at least the cage after we modify it, it will be slightly modified for the clean down. On the left of that diagram on the right is in the darker lines is the Galloway or work deck that will be inserted into the shaft to clean the western side. There is two work decks on the Galloway and so it might be little bit difficult to see but there’s some very light lines that have an arrow to them indicating that the vent duct. And this is put in here to illustrate how unused utilities will be transferred from the west side of the shaft to the existing cage and then hoisted out, which is it’s one of the more -- it will be one of the more complicated maneuver, so that’s what this…
John Tumazos: So the point of the sketch is to show us, I guess, scaffolding is the wrong word and Galloway is the right word. The temporary access device to permit the shaft maintenance…
Larry Radford: That’s right…
John Tumazos: …the difficulty you’re going through?
Larry Radford: That’s right. So we are giving you the details of the work that we’ll be doing for the next year.
John Tumazos: And how -- and you have to do this the whole length of the shaft?
Larry Radford: Yeah. We will start from the top, we’ll clean down and then as we come to unused utilities, we will take those out. We want to put this thing in a position, we brought this down, we want to put this shaft in a position to be able to put in a chippy hoist to go into the western compartment of the shaft, so that we can move men and materials. And that’s not anything that we’re doing in 2012, that’s something we’ll do at some point in the future. All we’re doing is putting ourselves in a position to do that upgrade to the shaft.
John Tumazos: Thank you. My next question involves slide 16, 17 and 18, where the -- it looks like the underground exploration in each case involves a development where you are tunneling into the deposit. So that if you were to say you wanted to have revenue at Star, San Juan or San Sebastian, could you ship directly from Noonday, Star to your existing mills, would San Juan require a mill only because you’re already doing the underground opening and is there a custom mill in a shipping distance of San Sebastian in Mexico?
Phil Baker: With respect to the Star, first realize that there is underground development that we have rehabilitated and we’ll do more rehabilitation. So in terms of accessing that material it is not going to be an initial development of new tunnels. So the question of once we have done the preliminary assessment and we have determined that we have a economic orebody that we can mine and we’ve completed our mine planning then we would look for where we might place that material. And we’d anticipate that we could place it into the Lucky Friday metallurgically, but when the Lucky Friday reopens we will probably not have any excess capacity. So what we will look for is the opportunity to mill that, if not at the Lucky Friday then at one of the other mills in the area and there is I guess three mills that are underutilized in the Silver Valley. So that’s the start. With respect to the San Juan, it is going to require a new mill to be constructed. But we do on the Equity have this ramping system that is 8000 feet long. It is a production ramp. I think it’s like 14 by 15. It is in a position where if we have success with the exploration we’re doing, we could move that forward relatively quickly but the critical path is going to be developing a new mill and really moving the Bulldog forward because that’s going to be the place where you get the tonnage that would support a mill. And then with respect to San Sebastian, yeah, there are mills in the area. We in fact had a mill that was about 100 kilometers away and we shift the upper material of the Francine Vein there and that’s certainly an option that we would look at to bring that into production. However, we are also doing the work to build our own mill at site.
John Tumazos: Thank you.
Phil Baker: Thank you, John.
Operator: Your next question will come from the line of Anthony Sorrentino with Sorrentino Metals.
Anthony Sorrentino: Hello everyone.
Phil Baker: Hi there. Good to see you.
Anthony Sorrentino: Would you review the process necessary to receive approval from MSHA to resume mining at Lucky Friday in 2013?
Phil Baker: I’ll let Larry respond to that but it is fundamentally the completion of the plans that we give them and the termination of citations and orders that they have issued within the mine.
Larry Radford: Yeah. That’s exactly what it is. During the course of the year we’ll be terminating citations and gaining access through the areas one at a time. That work should be done concurrently with the Silver Shaft clean down using #2 Shaft as an access. The mine has not been completely inspected yet, so that process also has to continue and be completed. And the other key activity that has happened during the year is the construction of the 5900 bypass haulage way which we’ve covered on other calls I believe. That has -- that will also be done concurrently with the Silver Shaft clean down.
Phil Baker: Yeah. Once we get to the 4900 level, we will be able to access the mine in a more robust way than what we can do just through the #2 Shaft and so things like that development of the bypass will happen much more rapidly at that point.
Anthony Sorrentino: Okay. And then, will the $90 million in capital spending at Greens Creek all be capitalized?
Phil Baker: Yeah. That is specifically expenditures that will be capitalized and the purpose of that expenditure at least as Larry said large portion of it is for the development of this 200 South that we think will extend the mine life and maybe we’ll see a little bit higher grade material certainly in the case of silver, so we’ll see better returns out of that material. So we’re quite excited about the potential from that development.
Anthony Sorrentino: Okay. Very good. Thank you very much.
Phil Baker: Thank you, Anthony.
Operator: (Operator Instructions) And your next question will come from the line of Tom Adams with International Management.
Tom Adams: Good morning, everybody. Phil, I met you in San Francisco and my question is regarding additional payments on the Coeur d’Alene settlement. What do you project will be the effect on your excellent cash position this year in 2012 with additional payments?
Phil Baker: Well, with the payment that we have to make this year is $25 million plus whatever warrant proceeds that we receive and what we’re anticipating is at these sorts of prices, that we’ll see a pretty flat sort of cash position taking care of all the things that we’ve announced, all of the capital programs, all of the exploration. It will be a relatively flat sort of cash position. If prices decline then clearly we would have to dip into our cash. But with $260 million we’re in pretty good position to be able to handle that.
Tom Adams: That’s an excellent answer. And also how many more years will you be making these payments for?
Phil Baker: Okay. So we’ll have another payment a year from October, so we’ll have one in October of this year, we’ll have another one in October of 2013, and then we will have the proceeds from the exercise of the warrants that is a 2014 event. I think June, July sort of timeframe, August timeframe.
Tom Adams: Thank you very much.
Phil Baker: Yeah. We don’t see any impediment on our growth plans and our development plans at the mines from the settlement of the litigation. That’s why we agreed to do that last year.
Operator: Your next question will come from the line of Trevor Turnbull with Scotia Capital.
Trevor Turnbull: Hey Phil. I saw in the budget for Greens Creek, you do have some money allocated for the tailings there. I just wondered if you could give us a sense of what kind of permits that you might have to acquire or do you have everything in hand to go ahead and do that?
Phil Baker: Yeah. We are -- Trevor, we are in the midst of the EIS process for the expansion of the tailings facility and it’s a multi-year process and we’re anticipating the finalization of that -- of the work that you do prior to the public comment in the next few months and then we’ll have that public comment period. And how quickly the project goes forward will be a function of that process. We feel very good about it from the standpoint that our record has been extraordinary at Greens Creek, our environmental record and we have lots of support in the community. And we think that what we’re proposing is sensible way to deposit tailings. So, Larry, anything you want to add to that.
Larry Radford: Yeah. The draft EIS should be issued at the end of March.
Trevor Turnbull: And so then how long would your capacity last at once this goes through and the stages is executed on?
Larry Radford: There is volume capacity that I guess will take us to about 2018 but when you consider the weather conditions at Greens Creek then we are limited to 2016. So it is important that we move this project forward.
Trevor Turnbull: Perfect. Thanks Phil.
Phil Baker: Sure. Thanks.
Operator: Your next question will come from the line of Chris Lichtenheldt of UBS Securities.
Chris Lichtenheldt: Afternoon, everyone.
Phil Baker: Hi, Chris.
Chris Lichtenheldt: First, just wanted to ask can you give us a sense of the grade at Greens Creek that you’re assuming for 2012?
Phil Baker: Yeah. We can, give us a second to look at up. It is a slight increase in grade. We’re going to look that up.
Chris Lichtenheldt: Okay. And even if just directionally you could let me know what’s happening with base metals and stuff, because I too thought the cost might be a little bit lower even when factoring in inflation. So it might be a function of what I had here for grades. Maybe next I’ll just ask then while we wait. The $90 million that you have for Greens Creek, there is some $30 odd million that you didn’t breakdown in your slide, is that really just a whole bunch of smaller things or is there some other sizable chunks in that you could describe?
Phil Baker: Yeah. I mean it is, gosh, we got 100 projects that are $1 million and less.
Chris Lichtenheldt: Okay.
Phil Baker: On Greens Creek, it’s a lot of little projects but we think they are important to move them forward. Larry, you have that?
Larry Radford: Yeah. Chris, as I mentioned, most of the projects are targeted at reducing risk, there is several 100 projects that are quite small, underneath the $2 million and then there are the big projects I mentioned earlier, which are by and large targeted at adding mine life.
Chris Lichtenheldt: And there is no real risk that these projects will slowdown throughput?
Larry Radford: Well, we are not expecting any risk. The deep -- the southern extension of the 200 South is, it’s a single heading. So we’re not anticipating that.
Phil Baker: Well, look Chris, there certainly is that sort of risk, I mean, logistical issues at Greens Creek as you know are pretty down thing. I mean, so there is lots of things that we’re concerned with. So it’s going to be a balancing act between taking these capital projects forward and maintaining the tonnage that we’re looking for and it will be great. So we will do that balancing effort and we’re confident that we can get it done but it’s not without risk.
Chris Lichtenheldt: Okay.
Larry Radford: Okay. As far as the grade question, it is increasing throughout the year, throughout the quarters and it averages 11.6 ounce per ton silver.
Chris Lichtenheldt: 11.6, and are the byproducts going up as well or down?
Larry Radford: They are going down.
Chris Lichtenheldt: Okay. That makes sense. Maybe just last on the CapEx, if you look at your -- the mine plan you anticipate now with your new reserve for the next 10 years or so. How many more years would you expect but there could be these large CapEx years to -- for additional access points, et cetera, or some general sense of maintenance CapEx if you could?
Phil Baker: Look, we’ll have variability in our CapEx as we go forward and one of the things that we have continued to find at Greens Creek is these new zones and so it’s hard for me to say what it might be. What I will say is that if we find nothing else and we, if you are in a mode where you’re going to say you don’t have anything then we’ll certainly crank it down. But that’s not what we are anticipating in fact it’s just the opposite and the reason why we are doing some of these things is we are seeking things that are causing us to think we’ll be mining well beyond the existing mine life.
Chris Lichtenheldt: Okay.
Phil Baker: One other things that we ultimately will have to determine is there an opportunity to go deeper at Greens Creek and if, how would you access that. So there could be some significant infrastructure to do that and then if you think about the Lucky Friday, after this year we’ll be moving the #4 Shaft forward again.
Chris Lichtenheldt: Right. Right. Yeah. Okay. That’s good enough for me now. Thanks.
Phil Baker: Thank you, Chris.
Operator: There are no further questions in the queue. I would now like to turn the call back over to Phil Baker for closing comments.
Phil Baker: Yeah. Thanks very much for joining the call and if you have any questions, please feel free to give Mélanie a call and I’ll be back in the office tomorrow and I can answer the questions then as well. Thanks very much.
Operator: Thank you very much. This concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.